Karen Romer: Good morning and welcome to Hexagon's Quarterly Presentation for the First Quarter of 2020. I'd like to welcome you and we are doing this broadcast digitally today. So I will be presenting Jon Erik, our CEO from Alesund office and also here with me, we have David Bandele, our CFO, who will be taking the stage a little later. I will be controlling the slides from here. So if there's a little delay, it might be because we're sending a signal. At the end of the presentation, I will, we will be taking questions. There is an e-mail address that you can send your questions to and I will be moderating them with Jon Erik and David. That address is ir@hexagongroup.com, it's also on the invitation in the press release. And I would like to just walk you quickly through the agenda. We have today, Jon Erik will walk you through the company update. And then David will take you through a summary of the group highlights and financials followed by the outlook. And then we'll open up to the Q&A. After the presentation is finished and the Q&A is finished we also open for you to reach out to myself or to David for any one on one interviews you would like to have.  So without any further ado, I'd like to hand over to Jon Erik.
Jon Erik: Thank you, Karen. Very good morning to all of you. Thank you for joining us this morning. And so over the last week, we have had three first cases over COVID-19 in our company. Fortunately for the employees are in good health and are experiencing relatively mild symptoms. And three cases are unrelated. And we have strong reason to believe that the infection has appeared outside our premises. All procedures have been executed and we are able to maintain production with minimal disruption. Prior to this, we kept our facility in Kassel, Germany closed from March 23rd to April 20th, because of customs shutdowns. But we have now reopened and are running at approximately 50% utilization. All the U.S. plans have been kept open. And so several of our customers have essential critical worker status and this also we Hexagon. Going forward, we will reduce our stick significantly in our mobile pipeline operations over the next three months.  So, currently 37 team members are furloughs and will be so for the next couple months. Fortunately no major supplier disruptions. We see that several segments will be negatively impacted in Q2. But none of our projects have being canceled. So we see still very high market activity, which points towards recovery from the third quarter.  We'll flip to the next page, thank you. We're very pleased to see that both our customers and our employees are very dedicated through these difficult times. The customers are not deviating from their sustainability agenda rather on the contrary, I would say. And our facilities are kept on the streets safety guidelines. And also we've kept the team's morale up by participating in charity supporting local schools among other things. Next slide please. So one of the effects of the health crisis is that, the emissions are going down everywhere. So, it's too early to say what the longer-term effect that will be, but a whole new generation is experiencing the pressure of -- and the latest estimates points at 8% reduction in world emissions in 2020. And so far, some rather extreme reductions in places like New York, China, India, EU and UK. So as far as we can observe, sustainability remains high on the agenda in a number of countries. There are discussions ongoing whether the investments into renewable energy projects and technologies is part of the solution to restore the economy. And we are keen to see if some of the recovery packages can accelerate the shift. In any case, we've seen through the last couple of months that the ESG stocks proven more safe haven in this period of market disruption and never has more money been invested into the sustainable stocks than in the first quarter of 2020. This slide is a recollection from the second quarter of 2019, when we summarized Hexagon's strategy and that strategy remains very relevant and valid today. So short to medium-term define that the next 5 to 10 years, we believe that natural gas includes renewable natural gas in that term represents the energy carrier with the largest potential for a positive environmental impact. So, that is one very important driver. We also see clearly that the automotive industry is shifting towards electric drive trains, e-drives are more energy efficient and also more than mechanical drive trains. And last but not least, we've seen over the last year or two that, center of gravity of the hydrogen development has shifted towards East Asia and towards heavier applications of heavier vehicles. And, if you go to the next page please, and that is also the main reason before the decision of the Hexagon to take a position in the Chinese market and our announcement last week. And so China is by far the world's largest automotive market, more than 25 million vehicles sold in 2019. And there are a number of major Chinese OEMs that we will share, for sure hear a lot about in the years to come. The transformation to battery electric vehicles started almost 10 years ago. And we now see a similar process initiated for fuel cell electric vehicles. The numbers are still modest in absolute terms, but still China represents by far the largest markets for commercial vehicles. So almost 6500 thousand vehicles sold in 2019. And I need to correct them almost 6500 vehicles were on the road last year, and which almost 100% were commercial vehicles and versus remainder being light duty vehicles. And 61 hydrogen refueling stations have been commissioned. And the Chinese government, both central government and local governments are significantly subsidizing zero emission vehicles. And the main drivers for the Chinese government to prioritize this is to reduce or to increase rather their energy independence, and of course to reduce the greenhouse gas emissions and other pollution. So we see over the next 10 years really significant growth potential in China. So our own analysis point at 750,000 fuel cell electric vehicles on roads, on the roads in China in 2030. The Chinese government's target is actually higher, it's 1 million vehicles. And interestingly, two thirds of our projection is the medium and heavy duty vehicle segments. We also see a significant potential in the build up of the infrastructure. So already in 2022 our estimate is that there will be cose to 300 fueling stations increasing to close to 3000 by 2030. So in order to play a leading role in this emerging markets, we have partnered with CIMC ENRIC. So CIMC ENRIC is very trusted brands in China. They are technology leaders in type one, two and three pressure vessels, strong relationships with Chinese customers and it's public company listed in Hong Kong approximately $2 billion of revenue and 10,000 employees and also with local international business. So, we have established a very good relationship and we are optimistic that this is the right partner for Hexagon. And we are complementing each other technology wise. So what CIMC ENRIC is lacking is Type 4 and so that is definitely the main contribution that we will provide with those who certainly are and knowhow in systems for hydrogen vehicles and also the fuel integration of vehicles will be a part of that corporation. And so CIMC ENRIC is two-thirds owned by CIMC, which is a global company. The world's leading liquid tank supplier, container supplier and also active in a number of other segments. So CIMC is a $12 billion company with 6,000 employees worldwide. So we strongly believe that in CIMC ENRIC, we have found right partner for developing the Chinese markets. The cooperation will also cover Southeast Asia. And certainly we will explore opportunities in other geographies and potentially also in other technology areas as we develop business together. And on that note, I would like to hand over to David. David, please.
David Bandele: Thank you, Jon Erik. I think we should start of course with the financial impacts of COVID-19 and Hexagon's response to those. So firstly, most of the real impact was started to develop in the back end of the quarter, so last three weeks in March. So they've been limited financial impacts in quarter one. But certainly, these impacts have carried over into quarter two. And we're certainly feeling those now. These are, by far not damaging the ongoing concern of Hexagon. But nonetheless, there’re things that we've had to respond to in a fast manner. Whilst it's difficult to assess or predict or provision the future broad effects of COVID-19 and the actual impact will depend on many factors beyond Hexagon control and knowledge. We can do expect an overall negative impacts to results in 2020. At this juncture, we do not see or expect or actually have had to adjust, make any material impairments within the balance sheet. We're tracking the COVID-19 impacts around three basic risk factors. The first and this is an order of important is always in demand side factors. How are these factors going to hit customer spending or consumer spending globally, and this is the area of the largest uncertainty as we planned, obviously now. So all of us will need to see how these work through all these value chains. But nonetheless, very important to keep a forward view on that in order to counter those measures if necessary.  Of course been able to supply to the demand border control has been an important area. We're fortunate that we don't have a large proportion of sales, for example, in Asia today. Most of our sales are within the U.S. so at least it's contained within those national borders, be there slight differences between the approaches to COVID-19 in the States. So Europe has really been the main focus and we're very happy to say that, that has been a very well managed process in relation to Hexagon's flow of goods, with great cooperation between logistics companies and the various authorities and different countries in Europe. Secondly, Jon Erik mentioned the key supplier interruptions as a major risk. Of course that is something that we manage constantly. When COVID-19 came in, I think one of the hardest hit countries was Italy, particularly the Northern region of Italy. And so, suppliers located there were probably among the key areas that we had to manage actively for different situations. Finally, one area that we can manage best ourselves is obviously COVID infections or prevention of infection, and the impacts to our operational activities. Jon Erik has covered that, but we're very pleased to say with the speed of reaction, the containment and our contingency plans by site, these are coordinated globally through a Head of Operations. We have had to make temporary layoffs. The largest impacts with sites impacted were a mobile pipeline in U.S. Lincoln, Nebraska, and also Kassel, in Germany. But we very much view this as short-term disruption. So, we have a longer-term view and we really try to ensure that we can retain all our staff during this period. In terms of the counter measures taken, we've taken fairly robust measures already. One obvious area is, as we exited 2019 had quite expansionist strategy on particularly Hexagon peers, so we continue, to hold to that strategy. However, we will restrict our CapEx and defer some product development, during this period. Priority projects are only, and one of those examples of a good priority project that we are completing is the agility and the expansion also in Lincoln, Nebraska. That is on track and over the next few months we should see that completed and beginning to ramp up. Goes without saying, we will optimize our working capital, including rationalizing inventories and the OpEx initiatives that we've taken, we've obviously suspended all nonessential spend. But we will continue to assess the situation and we will take further OpEx initiatives if they are required according to the severity of disruption. So, very active plans in place. We've modeled these both bottom up from the business areas top-down from corporate based on three levels of severity and more or less a low, medium and high impact case. But we are confident, running those plans that Hexagon can counter these negative impacts to business cash flows in the near to midterm. And some of the reasons of that confidence is, our good liquidity and financial flexibility as we operate through this period. Liquidity as good. As we ended quarter one, we certainly feel we're robust then come withstand the storm for quite a period. We have undrawn committed facilities of NOK733 million, that includes a NOK400 million acquisition facility. And on top of that, we had NOK115 million in cash. Our adjusted net interest bearing debt is NOK1.25 billion. I say adjusted as you'll see one big theme of the quarters in the balance sheet and it's the real increase in foreign currency rates. Or you can say a weakening of the NOK strengthening of the dollar and the euro. Between the end of quarter four and the start of quarter one this year the rates in dollars increased 20% and the euro 17%. One of the impacts is we have a NOK1.1 billion unsecured listed bond HEX-03 in the market that was raised to finance Agility or the Agility acquisition. That bonds will be settled ultimately in NOK. But during the back end of last year, we did a financial swap. Swapping it to U.S. dollar currency. And that was in order to hedge the P&L impacts from the from the bond. But what that does is accounting terms than you have to recognize that as a U.S. dollar instruments, and that was created NOK173 million non-cash impacts, so inflating the reported level of the net and of the interest bearing debt. So, again, after adjustment is NOK1.25 billion. The bonds, that is unsecured, there's no leverage covenant. When I look at debt servicing on that bond in 2019 costs us approximately $6.5 million. And Agility's cash flow if I measure, simply EBITDA less CapEx was around the $20 million mark. So plenty of headroom just from Agility's cash flows alone. And maturity of that bond is in 2023. So that's supplemented by a bilateral multi-currency and acquisition facility with one bank. And that's up to NOK1 billion and again our drawn loans less the cash at quarter one, then do it that way, is only NOK152 million. We have very flexible arrangements with our principal financier. We actually have those in place at the back end of '19. Again, connected to the fact that we saw strategy will be up to be continued to be bold and Hexagon peers. And so we have arrangements in place that allow us to invest heavily in the growth phase of e-mobility whilst continuing our normal business within e-mobility. So that gives us confidence to ride the storm.  Also we have done where appropriate, we will do take part in government stimulus programs, principally done in Norway, Germany and the U.S. One of the most relevant areas of legislation that we've benefited from is in terms of tax deferrals or being able to offset current taxes going back in time, something that was currently restricted before new legislation. So those have been very good positive benefits to liquidity. So, let's look at the first quarter 2020 financials. Highlights from quarter one, solid revenue and EBITDA for Agility Fuel Solutions. This was the expected softer start in 2020. We had a hitherto unexpected record quarter for Agility in Q4 2019. So this was as expected in terms of CNG Light-Duty vehicle first. Low volumes are again as guided, perhaps slightly more accelerated by the COVID situation some of the shutdowns of the Volkswagen and production sites. But again the major driver is the fact that major customer of Volkswagen is relocating production of CNG vehicles. Purity mobility markets remains dynamic. We have more than 40 diversified hydrogen product and we continue to get market leading feedback on our battery electric programs primarily in the medium and heavy duty sector. Mobile pipeline volumes are described as decent has been impacted by the lower activity in onshore oil and gas to clean North America. But however, continues to grow with RNG or renewable natural gas activity. On LPG, solid sales volumes quite diversified geographically. We have very good sales into Europe, particularly the UK, also into Middle East and South America to name some continents. So, again, just to summarize the financial impacts of COVID-19 as they relate to quarter one '20, we did feel some of those, but they were limited and mostly or primarily contained to transit bus operations in Europe. Looking at our results, start with revenues on the left, we posted NOK825 million in revenue versus 822 the same quarter last year. We did benefit from a year-over-year effect of plus 70 million tailwind on foreign currency so you can see the underlying revenues were lower. Again, we weren't able to benefit in growth in our CNG Light-Duty vehicle volumes due to the customer relocations and also COVID-19 impacts added to lower underlying volumes. We look at EBITDA in the middle, we posted EBITDA of 37 million. When we looked at the same period last year, the dark part to the left was 150 million. That of course, included a rather large one off net gain for our transaction when we acquire Agility that was for 69 million. So when we adjust for that, a more comparable quarter one '19 would be the 81 million still shortfall of 44 million year-over-year. We do include also that the 37 million this quarter this year, also included positive tailwind of foreign currency effects of 10 million. These are very much lower than the revenue side, mainly because most of our revenues are in dollars and euros from USA and Germany.  And of course, those costs are also in dollars and euros in what they call a natural hedge. So dampens positive effects when it comes to currency in EBITDA for 2020. And e-mobility for the 37 million does also include our investments into ramping up e-mobility, that number was negative 35 million this quarter, same quarter last year, the effect was minus 22. When we go over to the right and see net profit. Here, we catch up quite a bit of that shortfall in EBITDA. We posted 62 million in net profit versus 68 million same quarter last year.  Most of the catch was really driven by quite a large year-over-year effects of these foreign currency movements, a plus 154 million effect. So, when we look at our Hexagon Group's results to the right, it really does shield the fact that we are two separate tracks and it's important to spend time on that. Firstly, at the bottom, the base, this is our core business g-mobility, a low emission play. And the constituents of g-mobility is the Agility businesses there firmly rooted in the automotive applications, mobile pipeline and transport and distribution of natural gas and helium as well. And Ragasco comes to LPG mainly in the recreational areas non-industrial. Those combined then delivered most of the revenue 742 million for EBITDA of 82 million, given a solid double-digit EBITDA margin. So that business is very solid and forming, obviously more mature than the e-mobility business at the top, which is more a zero emissions play. And based around e-drive as you heard from Jon Erik and a hydrogen fuel cell electric as well. The businesses combined for a revenue of 19 million, and you can see the EBITDA effect totally including all of those divisions of minus 37 million. So combined you see a softer margin in Hexagon Group, but again, this is made up of 2 individual parts.  So, our balance sheets. This is where, there was quite a lot of activity. Again, I mentioned the extreme foreign currency movements between the end of last year and the end of this quarter. If you look at the left hand side, you look at our asset base. In fixed assets, you have tangible and intangible assets. A big portion of that and majority of it is Agility business denominated in U.S. dollars, and the also the acquisition of the Experian businesses in Germany denominated in euro. So, almost there are just over NOK500 million expansion impact on the assets. When we look at the headline increases in inventory in NOK, Norwegian krone, it will tell you that we've increased our inventories. I can tell you that. That is actually a wrong view when you strip out the effects of translation and underlying, we actually have a reduction in inventories. Similar picture for receivable, this is in place that heavily by currency movements. And if we go to right hand side, our liabilities and equity, we see some positive impacts to equity from the foreign currency movements. The impacts in blue there and affecting the interest-bearing debt that I mentioned previously, and you can see similar impact other parts of our liabilities. So, for those interested in the appendix, we have more of a cash movement picture, which strips out the translation effects and gives more of a real picture of our working capital and cash position generally. Still though a strong balance sheet to carry us through the next few quarters. I will just take the outlook, obviously, we won't be able to guide very specifically, given COVID-19 and the impacts I mentioned earlier, particularly how the demand side impacts -- affect the global macro picture. But I think we'll be able to give you at least a directional view. When we start with Agility, we do see continued activity in the heavy and medium duty, e-mobility space, which is good. On terms of those COVID-19 impacts, specifically in quarter two quite a way through quarter through now. Certainly a U.S. and particularly the European friends of us negatively impacted by some of those customer shutdowns. Those customer shutdowns are being temporary and most of them are up and running to a certain degree, which is good. But overall, we would expect longer lead times the sales due to these impacts working themselves through the whole value chain.  We do however, expect a busier second half of 2020 particularly in heavy duty truck, different reasons but we thought on both in '18 and '19, as well. And one area was the major the logistics suppliers for example, one of our customers UPS, they're seeing increasing demand. And they're also designated as having that essential infrastructure status which allows them to keep operating. On Hexagon Purist the e-mobility part and start off with the COVID impacts in quarter two. There currently no indications of impacts to these development programs and timeline to potential serial volume opportunities. But of course, delays can arise. Continue to have this positive customer feedback. This is on the BED or Battery Electric Drive train deliveries to Daimler Trucks, North America. And the fleets Penske and NFI at LA Harbor, log many, many thousand miles with continuous good and positive reviews on the driving experience. Also in addition, and that business unit is working hard on deliveries to two additional OEMs they continue to be on schedule to date. Look at medium and heavy duty hydrogen projects COVID-19 impacts in quarter two currently as we speak, no indications of impacts to the development programs but again, delays can arise. We received our first hydrogen order for capacity and [indiscernible] designed to withstand very extreme conditions. So again, further diversification of the e-mobility platforms that we're getting into. An interesting project in Sweden. Good collaboration then there PowerCell. PowerCell from our collaboration with them on [indiscernible] on which has a marina maritime fuel cell mobility focus. There we delivered hydrogen storage behind the cab systems for zero emissions refuse garbage trucks. We do expect additional orders for hydrogens on bus programs or various bus programs in Europe. So we'll monitor those as they take shape.  This gives a snapshot of the more than 40 projects that we have still activity in light duty vehicles definitely, I would say very heated and very, very targeted, strong activity in medium and heavy duty and also the distribution side. And we continue to have quite good projects and around the ground storage, mobile refueling maritime mentioned [indiscernible] `and railway opportunities amongst others. Hexogen Purist also has the CNG light duty vehicle business units. We've mentioned Volkswagen, the assembly line relocation as reported in quarter four is in process that has had a definite impact in quarter one, it will continue to have a significant impact in quarter two. Ramp up is still as we speak expected to start in the third quarter.  However, as we see it the potential that post COVID-19 given the general ramp up rates of OEM that we're seeing that potentially the run rates in the second half of your may not be at the 2019 level. However, Volkswagen has reassured the continuous marketing of their CNG range of vehicles. We do see though, that new models beyond 2025 will be contingent on changes to EU regulation. Currently, the EU regulations in force. When you measure your fleet, CO2 emissions from the tailpipe whereas favors current [indiscernible] disadvantageous to CNG, light duty vehicles, relatively speaking.  However, with the constant introduction of RNG, currently at 17% of transport fuel in Europe is RNG, or renewable natural gas with a more of a wealth to wheel view there, the benefits to the environments of the RNG are actually at the highest of all the alternative fuels. So the higher REU increase the blend of RNG and if the regulations change to well to will, I think that would definitely shift the focus back to GE mobility for logistics. Mobile pipeline opportunities in 2020 despite project delays challenges, and mobile pipeline, not only do they need to cope with the impacts of COVID-19, but also the general disturbance in the oil prices, and that situation has definitely is more relevant to the mobile pipeline sector. So we do see, and we'll see in second quarter significantly reduced activity and onshore oil and gas. Not to be, that's not unexpected. But also we see a general risk of project delays due to capital constraints when there are these macro factors. To the extent that we had to curtail production, due to these lower volumes, and we don't feel that the reductions in all the cost initiatives that we've done already back in the '19 will probably not be able to cover the shortfall of lower volumes in Q2. And, however, going forward in the pipeline, very interesting things in the pipeline. We see a somewhat increased activity in the Latin American market. These build out openings of certain pipelines connecting Texas into Mexico, for example, on the onward, build out of infrastructure, there is definitely beginning to stimulate that market for us again. And industrial gas continuous penetration. As you know, may not know, our gas portfolio now includes helium here with the mobile pipelines. Renewable natural gas continues to show significant potential. We actually expect additional orders from existing RNG customers for our workhorse typing for products and the also large TITAN 53 product. And we actually expect new customers for our leasing units on the lifetime asset management program where we try and manage the asset through its lifetime to the benefit of the customer. And obviously Hexagon. One interesting area will be the [wait-and-see] as the virtual interconnect. This is really a highly seasonal business area or highly seasonal business, should I say, Q4 and Q1. This has to do with the winter season and particularly the Northeastern States in the U.S. so we will be awaiting the weather projections over the next few months. And where the, projections for a cold winter, you will see the normal rush to supply and increased prices there and activity in that sector. So, we're wait-and-see. And the other thing that we're seeing beginning to see interest in the U.S. is for mobile refilling business, using our taking products or extra products and potential opportunities awaiting there. So, some reason to smile for mobile pipeline. On Hexagon Ragasco finally, how's fateful COVID-19 impact? It would be mainly expecting delays and orders for certain countries who are significantly impacted by the pandemic. Otherwise, in the second quarter, you'll see the beautiful green revolution LPG cylinders to the right there. They're on their way to a new customer in Germany, and it marks a significant for the expansion into the German market. This is a very important market in Europe, very large markets and a market where we haven't been able to have a lot of penetration to-date. Also expects solid sales in the Middle East particularly Saudi Arabia and Qatar, and we always like to celebrate our new countries or new geographies, will also include shipments as cylinders to Djibouti in East Africa. So to summarize, we would say the disruptions related to COVID-19 will have a negative impact to earnings for quarter two 2020. We expect a weak quarter for quarter two. Barring any unforeseen COVID-19 developments, we expect, however, a stronger market outlook in the second half. Hexagon has strong liquidity and business resilience, certainly to weather the storm, and as we see from the empirical evidence that we have around the cities and the globe now following the reduced activities in the cities, we feel that the e-mobility and g-mobility drivers, they remain intact and actually will strengthen post recovery. Investment into green technologies would also as we see stimulate job growth, stimulate these economies and certainly have a transfer of skills into that technological area. And with that I will pause.
A - Karen Romer: We have them some questions from the audience. [Operator Instructions]. The first question is from Mikkel Nyholtt-Smedseng function Carnegie. And it'd be this would be for you David. Please elaborate on the top line decline and margin levels for Ragasco. What shall we expect onwards?
David Bandele: Um, actually when we look year-over-year, Ragasco increased EBITDA despite the lower revenues. So, we have a better mix in quarter one this year, for example, in quarter one last year. So, that's positive with the European demand increasing. But of course, some of that increase in EBITDA was also benefits of foreign currencies. We see when you say decline, that's a year-over-year growth.
Karen Romer: Some again, as for you David. Inventory buildup appears high in itself and also higher than payable increase. Can you explain the main drivers of the working capital?
David Bandele: That's a good question. As I refer to in the presentation when you look at our balance sheet, because of the extreme foreign currency impact, it actually gives the wrong picture on working capital, particularly inventories receivables and payables.  What we've done in the appendix to the presentation, we've actually stripped out those fine -- you could say translation or effects. So then you can see really the, the working capital picture which is actually positive, without foreign currency -- underlying basis. So I will just say that Nick, maybe you could definitely have a look at the appendix and you'll see more clearer picture of the company. I agree, the foreign currency makes it a disturbed picture this quarter.
Karen Romer: Third question. So I'm again turn write it down, I think to your net [Indiscernible]. Please comment on the "VW" has reassured continuous marketing of a CNG range of vehicles depending on EU regulations post 2025. Given public announcements, it sounds very much as the VW is phasing out CNG.
David Bandele: So there have been some comments for the CEO Mr. [Indiscernible] that has raised some uncertainty. But since we have had very strong reassurances from the executive level, Volkswagen that there's no intention to phase out CNG marketing for the next five years. And Volkswagen to continue to prioritize CNG. And there needs to be a change in the emissions regulations. So that instead of as today, only measuring the tailpipe emissions, the regulations need to change to when to read.  So, the paradox is that if you measure the real impact, then CNG mixed with RNG is by far the most environmentally friendly solution technology available today. But since the regulations focus on tailpipe only then that is incentivizing strongly battery electric vehicles  So we're working together with the rest of the industry, including Volkswagen. Volkswagen, organism member of MGEA Europe. And we are also member the representative on their board. And we are now stepping up our efforts to influence regulations in the European Union.
Karen Romer: Excellent. That wraps it up from the Q&A and that we've received. I'd like to remind people that if they'd like to arrange one on ones with David and Erik to take contact with, David, if you're Investor analysts and contact with myself, Karen Romer if you're media another interesting interview. Other than that, I'll leave it to you Jon Erik to close out the session.
Jon Erik: So thank you, Karen. Thank you, everybody for spending time with us this morning. Wish you all very good rest of the day.